Operator: Welcome to the Third Quarter 2021 Financial Results and Business Update Conference Call for Yield10 Bioscience. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Yield10’s Vice President of Planning and Corporate Communications, Lynne Brum.
Lynne Brum: Thank you, Devin and good afternoon everyone. Welcome to Yield10 Bioscience third quarter 2021 conference call. Joining me on the call today are President and CEO, Dr. Ollie Peoples; Vice President of Research and Chief Science Officer, Dr. Kristi Snell; and Chief Accounting Officer, Chuck Haaser. Earlier this afternoon, Yield10 issued our third quarter 2021 financial results. This press release, as well as Slides that accompany today’s presentation, are available on the Investor Relations event website at yield10bio.com. Let’s now turn to Slide 2. Please note that, as part of our discussion today, management will be making forward-looking statements. These statements are not guarantees of future performance and, therefore you should not place undue reliance on them. Investors are also cautioned that statements that are not strictly historical constitute forward-looking statements, and such forward-looking statements are subject to a number of risks and uncertainties that could cause the actual results to differ materially from those anticipated. These risks include risks and uncertainties detailed in Yield10’s filings with the SEC. The company undertakes no obligation to update any forward-looking statements in order to reflect events or circumstances that may arise after the date of this conference call. I will turn the call over to Ollie.
Ollie Peoples: Thanks, Lynne. Good afternoon, everyone and thanks for joining our call. We have made strong progress during 2021 advancing Yield10’s business. Today, we will provide an update on our recent accomplishments, review our target markets with an emphasis on bio-fuel feedstock oil, present the third quarter financials, and summarize key milestones. We will then open the call to questions. Now, let’s turn to Slide 3. Our innovation platform is centered around oilseed Camelina. We use our trait factory approach, applying the principles of synthetic biology to improve the performance of the crop. This includes mixing more CO2 from the air to increase seed yield and oil content in the near-term and producing high-value proprietary seed products in the future. We believe that some of our varieties may also have the potential to sequester more carbon in the soil, as shown in the slide. Let’s now turn to Slide 4. During this quarter, we continued to develop and execute our Camelina business strategy, including outreach to potential partners in the areas of biofuel, food and bioplastic, to explore ways of working together to bring forward products produced in Camelina. We executed on our 2021 field test and seed scale-up activities and completed the harvest in the U.S. and Canada in third quarter. We’re pleased to report that, overall, our plantings of Camelina showed good tolerance to heat in the areas that experienced weather challenges and that the trials were harvested for evaluation. As part of this program, we began to scale-up of our two best Camelina PHA lines and because we prioritized seed analysis of these lines first, we are also pleased to report PHA levels consistent with the findings from our small field scale planting last year, the successful completion of this seed scale-up in 2021 enables acre-scale planting in spring 2022. The data analysis from all of our other harvested trials, are still in progress and we expect to report additional findings and our plans for spring 2022 in the first quarter. As many of you know, we have also been developing winter varieties of Camelina. We had a successful program last winter with good yields, and we have substantially completed planting for our 2021-2022 winter field testing and seed scale-up program in the U.S. and Canada. In our transition to an early commercial focus, we continue to add key hires in particular to lead our seed operations and build out our commercial team. In a quick recap of prior accomplishments this year, we expanded our trade portfolio with 4 new oil content traits using our GRAIN platform, strengthened our balance sheet to extend our cash runway to achieve value-building milestones into 2023 and extended our IP portfolio with 4 new patents awarded. Now, let’s turn to Slide 5. Although our technology development focus is on our Camelina business, field trial results from our traits in Camelina not only adds value to Camelina as a crop, but in addition allows us to create option value for our traits at other crops through trade licensing to major seed companies. Today, I’d like to focus on key accomplishments against our strategic goal to use Camelina as a platform crop to produce feedstock oils in the near-term, and I will provide an update on our EPA DHA online three oils for food as well as PHA bioplastics. Combined, we estimate potential seed product revenue of over $4 billion by 2030. Let’s turn to Slide 6. Our largest near-term opportunity is for supplying Camelina seed or oil into the growing renewable diesel market. Interest in renewable diesel, or biodiesel, remains high, as indicated by the large investment energy companies are making due to low-carbon fuel regulations and the pressure to invest in cleaner technologies and reduce their carbon footprint due to climate concerns. Investments into biofuel production are creating a massive demand for vegetable oil feedstock, as shown on the chart. Renewable diesel biofuel production capacity is projected to grow to 5 billion gallons annually from an estimated 1 billion gallons this year. We believe Camelina represents a great solution to expand feedstock oil production in North America to support this demand. Let’s turn to Slide 7. Our commercial strategy in elite Camelina is capital-light one using contract farming, seed crushing and customer off-take agreement. To establish a leadership position in Camelina, in the near-term, we are prioritizing the development of Camelina lines with herbicide tolerance and disease resistance to enable large-scale acreage. Our performance traits for yields on oil will be stacked into these in the future. Developing Camelina for making feedstock oil for biofuel represents our best near-term commercial opportunity. I will now turn the call over to Kristi to provide an update on our technical progress.
Kristi Snell: Thanks, Ollie. Let’s turn to Slide 8. We are utilizing spring and winter varieties developed by our team in field testing and seed scale-up, and we believe these lines can be put into limited pre-commercial production for producing oil and meals for sampling. Our team has identified and, in many cases, tested more than 15 performance traits for Camelina. The key to accessing and expanding acres for commercial production of oil and meal with these traits is deployment of herbicide tolerance. Growers will demand it, and controlling weeds is needed to meet expectations for agronomy and yield. In 2021, we began our herbicide tolerance program and continue to make good progress as we focus on our goal of stably deploying and verifying herbicide tolerance in our high-oil E3902 Camelina and in our new winter varieties in 2023. When this is accomplished, we will be positioned to advance into pre-commercial seed scale-up. At the same time, we plan to make regulatory filings as we scale up seed production up to 1,000 plus acres. Our progression into commercial launch will be predicated on signing offtake agreements for oil. Launching both spring and winter varieties would enable revenue streams from two harvests per year in North America. Now let’s turn to Slide 9. Another way to increase the oil supply is to relay the winter Camelina crop with soybeans, as illustrated on this slide. This has the potential to double the feedstock oil supply without impacting food production. It also provides sustainability benefits in that it provides protection for the soil. Now let’s turn to Slide 10. The main objectives of the program we are executing this winter are to continue seed scale-up of line E3902 and our winter lines, and to determine if winter planting in additional areas of the U.S. can be viable for Camelina. E3902 is a CRISPR-edited for oil content and produces a seed with a different color as compared to typical plants. You can see it on the slide. The seed color is more yellow than brown. Last year, E3902 showed a 5% increase in oil content in the field. We are still evaluating oil yields from our 2021 test we do know that the plants displayed good heat tolerance. Given the expected performance of E3902, we are moving ahead with contra season scale-up in California as well as testing small pots of E3902 and our DH 12 spring line in fiev additional states, including Georgia and Texas. We have developed two winter lines, WDH2, which has shown good tolerance to cold; and WDH3, which is early maturing. These lines are undergoing speed scale-up in Saskatchewan and Idaho, respectively. If this program is successful, we will harvest seed to enable larger planning, verify expected yields with another season of data, as well as determine if the geographical reach of our winter and spring lines can be expanded into more southern and central regions of the U.S. during the contra season. Ollie, back to you.
Ollie Peoples: Thanks, Kristi. Let’s now turn to Slide 11. There is a large opportunity in the omega-3 fish oil market, driven by reduced supply of oil from harvesting fish and growing demand in aquaculture feed and nutraceutical markets. We believe the land-based production of omega-3s is an important potential solution for this market. A year ago, we secured commercialization rights to the omega-3 Camelina technology from the Rothamsted Institute in the UK. This technology is quite advanced in Camelina, with multiple research field trials as well as aquafeed and human clinical trial data generated using oil produced in those studies. As shown in the table, Camelina EPA, DHA and omega-3 product has clear potential to be the best-in-class across quality of composition, with around 20% combined EHA and EPA omega-3s plus the third omega-3, ALA, and represents a sustainable way to meet the international growth anticipated in this attractive market. During 2021, we have worked with Professor Jonathan Napier to support his activities, as well as working internally on regulatory strategy and business development, with a focus in Argentina and in Chile, which produces around 30% of global farmed salmon. We continue to work on analysis of the genetics of the lead omega-3 lines from Rothamsted to enable the development of a regulatory strategy, while field tests of our current lines are ongoing in Argentina. Pending clarity on the regulatory path for the Rothamsted omega-3 trait, in the future, this will be stacked on to the elite family that’s currently under development for feedstock oils. We look forward to updating you on this program in first quarter next year. Now let’s turn to Slide 12. Petroleum plastics are in every way an innovation of the 20th century. The functional benefits of plastics changed almost every area of daily life. Although it wasn’t obvious early in the lifecycle, it is now. Plastics are a huge source of pollution on land and in water worldwide. Whether it’s plastic waste or the contribution to carbon emissions during production, petroleum-based plastics are a problem. Petroleum-based plastics, as you see in the chart, gain more such broad use because they are very low-cost to produce. This has represented a large barrier to entry for the broad introduction of bio-based and biodegradable plastics except at instances where the brand owner is strongly committed to sustainability. Even so, more recent pressure on brand owners has resulted in increasing demand for materials like PLA, which is compostable in industrial systems but not biodegradable in the environment. As a result, major capital investments in additional PLA production capacity are underway. We believe PLA is an interim solution, and PHA bioplastics, which in addition to being broadly useful in plastics markets are natural materials and fully biodegradable in environment, therefore a better solution. The caveat, of course, is the need for a disruptive production technology to reduce costs and enable capital-efficient large-scale production. Our mission is to achieve this by producing the PHA bioplastic as a third seed component in Camelina seed, along with protein and meal and oil. This will eliminate the inefficient conversion of sugar or oil feedstocks and the prohibitive capital and operating costs of fermentation. Direct production as a third seed product in Camelina will directly link PHA bioplastic production to low-cost, large-scale agriculture with the potential to produce at costs in the range of feedstock oils. From a carbon perspective, taking CO2 directly from the air and directing it to PHA bioplastic in seed is compelling, but this platform will still take time to develop. Now let’s turn to Slide 13. Redesigning a plant to make PHA is difficult, and in 2019, we reported proof-of-concept in greenhouse-grown plants; and in 2020 indicated 6% yield of PHA in seed grown in the field. Having prioritized the valuation of our PHA samples, we are pleased to report that our two best PHA Camelina lines planted this spring showed the same result as last year, up to 6% PHA by weight in seed. In 2022, we plan to continue along the path of seed scale-up at acre scale, enabling larger scale in 2023 and initial seed processing to produce PHA for product samples and prototyping. At the same time, the team is proceeding on parallel paths to develop second-generation lines of PHA in the range of 10% to 20%. Once available, the new PHA trait will be stacked onto the elite Camelina currently being developed for feedstock oils. We believe that this is a very attractive market and biodegradable PHA produced from plants may represent an excellent solution for pump owners, brand owners and consumers as well as the environment. Now let’s turn to Slide 14. Currently, we have non-exclusive research license agreements in place with Bayer, GDM, Forage Genetics and Simplot to test some of our traits in different crops. Each company is evaluating their traits in their good crop with the option to negotiate a commercial license. In third quarter, we worked with Forage Genetics to extend the research license for an additional 12 months and enable them to complete their R&D activities. The arrows on the slide indicate the duration of the agreements currently in place. Now let’s turn to Slide 15. Our net operating cash usage was $2 million for the third quarter of 2021, ending the quarter with $18.5 million in cash, cash equivalents and investments. We expect that our cash on hand, together with the expected revenue from our current government grant, will support our earnings in the second quarter of 2023. We have no debt on our balance sheet. We are updating our estimates for net operating cash usage for the full year 2021, and now we believe it will be within the range of $10 million to $10.5 million. This includes estimates for our contracted and planned seed scale-up activities, as well as planned hires and other support in business development, regulatory affairs, and seed operations, all directed towards executing our commercial plan. Let’s now review the third quarter 2021 operating results. The company reported a net loss after taxes of $2.4 million for the third quarter of 2021 compared to a net loss after taxes of $2.2 million for the third quarter of 2020. Total research grant revenues in the third quarter of 2021 were $92,000 versus $204,000 in third quarter 2020. The decrease in the quarter reflects our assignment of internal resources to near-term commercial goals. In the third quarter of 2021, R&D expenses were $1.6 million compared to $1.3 million in the third quarter of 2020. G&A expenses were $1.5 million in the third quarter of 2021 as compared to $1.1 million in third quarter 2020. For the 9 months ending September 30, 2021, our net loss after taxes was $8.1 million, or $1.72 per share as compared to $7.6 million, or $3.69 per share in 2020. For more details on our financial results, please refer to the earnings release. Let’s now turn to Slide 16. As we move into 2022, we will continue to focus on the following milestones: completing data analysis of our 2021 field test program, and we expect to report additional results in first quarter 2022. And this will help inform our 2022 field testing and seed scale-up priorities. We’re continuing to expand our elite Camelina germplasm collection with internal work as well as acquiring rights to lines with desired performance profiles. We are making field-test ready herbicide-tolerant E3902 in winter varieties. We’re also working to create second-generation stack traits. Progressing the business plan for our Camelina products, where we are seeing a high level of interest in Camelina for producing feedstock oil for biofuel, and we are working to identify a commercial partner. We’re advancing the commercial launch plan for Camelina omega-3 oils in South America, where we are on track to complete the regulatory analysis omega-3 lines and finalize the strategy. We continue to broaden our commercial capabilities, particularly in seed operations, to complement our recent hires in regulatory affairs and business development. As we increase the focus on the Camelina products, we’re still seeing more opportunities to secure strategic industry collaborations from value chain partners in addition to biofuel. Also, based on industry feedback, we believe there will be an increasing demand for trait gene target identification tools, like our unique GRAIN platform, as well as novel traits for genome editing in crops. We are continuing to work to secure revenue based on generating commercial licenses from our traits, going forward, and expanding our intellectual property portfolio. And with that, I’d like to turn the call back over to Lynne for questions.
Lynne Brum: Thanks, Ollie. And Devin, we’re ready to poll for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Anthony Vendetti with Maxim. Please, proceed with your question.
Jeremy Pearlman: Hi, good afternoon. This is actually Jeremy Pearlman on for Anthony. A quick question on Slide 7 of your presentation, you see on the bottom there is a note that the elite Camelina variety developed for the feedstock oil will then be used for the omega-3 and PHA bioplastic. I just want to make sure I have that clear, that your plan is, in the end, to have one Camelina variety that will have all these traits stacked upon each other that will then be able to…
Ollie Peoples: No, actually, and this is very typical. So basically, what we will do is we will have a trait developed separately for both omega-3, PHA bioplastic. But in order to get all the performance features of the elite Camelina producing those products, we will actually cross that trait into the elite lines, and that will give us elite omega-3 and elite PHA bioplastic lines. So we see three separate lines and three separate businesses.
Jeremy Pearlman: Okay, it will be three separate lines. Okay. I just want to make that clear. And then, also, I know you always hear there is ongoing talks with potential commercial partners? Can you maybe talk a little bit more to that, where you think they are in this talk? Are you getting more traction as you’re proving yourself more every planting season? You’re increasing your speed. You’re increasing your acreage. Do you see any more traction, any more interest in your talks with potential commercial partners?
Ollie Peoples: I would say, yes, I mean, definitely. And I think the issue, of course, always is looking at – the issue for these large energy companies is that they are basically used to owning and controlling the well, the source of the feedstock for the refineries. This is kind of different for them, and they are really doing it because of low-carbon fuel standards. So they are converting facilities. Many of those facilities are actually in areas of the country, both here and Canada, that are very suitable for using Camelina oil as a feedstock. And so, once we recruited our business development person, there is been extensive outreach to these folks. I would say all of the folks in the biofuel space, at least in North America, seem to be very concerned about feedstock security; in other words guaranteeing that, once these investments were in place, that supplies are available to keep those facilities running and operating. So that’s really the driver behind this. To be perfectly honest, we haven’t really been focused on this, but given that as part of our push to produce omega-3 oils and PHA bioplastics, we have been developing elite Camelina to not only increase oil, but also for herbicide and disease resistance, then we find there is a really interesting intersection and overlap of our interests in the near-term and their strategic goal to secure feedstock. So we have discussions ongoing. But as you know, discussions can take a while, and there is no guaranteed outcomes
Jeremy Pearlman: Okay. Alright, thank you very much. I will hop back in the queue.
Lynne Brum: Thank you. Thanks for that. 
Operator: [Operator Instructions]
Lynne Brum: Devin, I think I’d like to now turn the call over to Ollie for his closing remarks. Ollie, go ahead.s
Ollie Peoples: I’d like to personally thank all of you for joining us on the call tonight, and especially our shareholders for your continued support. We’re very excited about opportunities ahead of us as we build our business. In the near-term, we are focused on the promising market opportunities for oil and meal from our elite Camelina as well as on progressing commercialization of the EPA and DHA omega-3 oil product. I’d like to thank everyone at Yield10 for keeping us on track to reach our goals in 2021. And with that, I’d like to wish you all a nice evening. Thank you.
Operator: Thank you everyone. This concludes today’s teleconference. You may now disconnect your lines. Thank you for your participation, and have a wonderful day.